Operator: Good day, ladies and gentlemen. And welcome to CF Industries Full Year and Fourth Quarter of 2023 Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the presentation over to the host for today, Mr. Martin Jarosick, with CF Investor Relations. Sir, please proceed.
Martin Jarosick: Good morning and thanks for joining the CF Industries earnings conference call. With me today are Tony Will, CEO; Chris Bohn, Executive Vice President and Chief Operating Officer, and Bert Frost, Executive Vice President of Sales, Market Development and Supply Chain. CF Industries reported its results for the full-year and fourth quarter of 2023 yesterday afternoon. On this call, we'll review the results, discuss our outlook, and then host a question-and-answer session. Statements made on this call and in the presentation on our website that are not historical facts are forward looking statements. These statements are not guarantees of future performance and involve risks, uncertainties and assumptions that are difficult to predict. Therefore, actual outcomes and results may differ materially from what is expressed or implied in any statements. More detailed information about factors that may affect our performance may be found in our filings with the SEC, which are available on our website. Also, you'll find reconciliations between GAAP and non GAAP measures in the press release and the presentation posted on our website. Now let me introduce Tony Will, our President and CEO.
Tony Will: Thanks Martin, and good morning everyone. Yesterday afternoon we posted financial results for the full-year 2023 in which we generated adjusted EBITDA of approximately $2.8 billion. Net cash from operations was also $2.8 billion and free cash flow was $1.8 billion. These results reflect a healthy nitrogen supply demand balance and global energy spreads that favor our low cost production base in North America. They also represent outstanding execution by the CF Industries team. We worked safely, ran our plants well, and navigated dynamic industry conditions. Our investments in people, safety and reliability have built the industry's highest performing manufacturing network, as you can see on Slide 6. Looking ahead, over the next four years, confirmed construction of new nitrogen production capacity is not sufficient to keep pace with the historical nitrogen demand growth rate of roughly 1.5% per year in traditional applications. Adding to this tight supply demand situation is the risk that existing ammonia production capacity in several important regions remains on the verge of permanent closure due to constrained availability and cost of natural gas. Meanwhile, emerging demand for low carbon ammonia into clean energy applications should further tighten the already strained global supply demand balance. As a result, we are confident that our cash generation will remain strong, as underscored by the recent increase in our quarterly dividend and continued share repurchases. We look to continue to invest in high return organic and inorganic projects to grow our cash generation. As such, we continue evaluating a new low carbon ammonia production plant at our Blue Point Complex in Louisiana with our partner, Mitsui. Our company share a belief that North America is the best location for production of low carbon ammonia, given natural gas cost advantages and access to CCS sites and expertise. As you can see on Slide 8, the economic value of North American nitrogen assets continues to increase over time, supporting returns greater than the cost of capital and new projects. We and Mitsui are targeting a final investment decision in the second half of 2024, when we have additional information on low carbon ammonia production technologies and better clarity on customer requirements for carbon intensity levels, along with regulatory developments. While taking a disciplined approach to growth, we will continue to return capital through our dividends and share repurchases. We have approximately $2.6 billion remaining on our current share repurchase authorization and fully expect to complete it before its expiration at the end of 2025. With that, let me turn it over to Bert, who will discuss the global nitrogen market conditions in more detail. Bert?
Bert Frost: Thanks Tony. The fourth quarter of 2023 was an active period for our team, highlighted by the largest fall ammonia application season in North America in years. A strong fall application season indicates a commitment to nitrogen consuming crops on these acres and robust demand for additional urea and UAN applications through the first half of 2024. This, along with strong ag fundamentals, supports our outlook for a positive spring application season. We expect 91 million acres of corn to be planted in the United States. As we continue to work with customers in advance of spring applications, we believe supply is more constrained in the North American nitrogen channel than industry expectations. Inventories were below average entering the year and net imports of nitrogen to the region are not making up the difference. The cold snap we experienced in North America during January has exacerbated this situation. We believe that there has been significant volume of domestic nitrogen production lost due to weather related shutdowns across the region's supply base. We estimate that CF Industries lost approximately 150,000 tons of ammonia production in January from our own network due to the weather, unexpected supply tightness often leads to follow on logistics challenges and early spring would further strain the supply chain. We believe that our in region production and extensive logistics and distribution capabilities will serve us well in this environment. Global grain stocks use ratios have returned to normal levels after two robust growing seasons. However, we do not project a significant impact on global nitrogen demand, given the imperative to seed growing populations. We expect continued supply constraints in key producing regions, most notably ammonia production economics in Europe remain challenging. Global ammonia spot prices continues to align with the full cost of European ammonia production, confirming Europe as the industry's marginal producer. This continues to support elevated imports of nitrogen products into Europe compared to a decade ago. Beyond Europe, natural gas availability continues to affect ammonia and UAN production in Trinidad. And based on its actions in the fourth quarter of 2023, we believe the Chinese government will limit exports through the first half to ensure supply availability and urea price stability for the Chinese domestic market. Looking ahead, forward energy curves suggest continued favorable energy spreads between low cost North American production and high cost production in Europe and Asia. We believe this will support sustained margin opportunities for our low cost manufacturing asset base. With that, let me turn the call over to Chris.
Chris Bohn: Thanks Bert. For the full year 2023, the company reported net earnings attributable to common stockholders of approximately $1.5 billion, or $7.80 per diluted share. EBITDA was $2.7 billion and adjusted EBITDA was approximately $2.8 billion. In the fourth quarter, we completed the acquisition of Incitec Pivot's Waggaman ammonia production facility. After adjustments and accounting for the value assigned to a long term supply agreement with IPL's Dyno Nobel subsidiary, our cash purchase price was approximately $1.2 billion. The Waggaman facility has operated as expected since closing and has generated margin commensurate with our existing ammonia segment. Looking ahead to 2024, we expect capital expenditures for the year to be in the range of $550 million and for gross ammonia production to be near 10 million tons. As Bert said, we experienced unplanned weather related outages in our network during January. During these outages, we pulled forward some planned maintenance activities. This should reduce scheduled downtime later this year, mitigating some of the production loss in January. As a result, we expect gross ammonia production for the year to be near our projection. Commissioning of our green ammonia project at Donaldsonville is underway. We are currently evaluating the purchase of renewable energy credits to pair with the start-up of the electrolyzer to enable green ammonia production and maximize the value of the 45B production tax credit. We expect that the CO2 dehydration and compression unit at Donaldsonville will be ready for start-up in 2025. This will enable low carbon ammonia production and generate substantial 45Q tax credits. We are also making progress on other CCS opportunities with returns above our cost of capital. Turning to the potential new low-carbon ammonia plant at our Blue Point complex in Louisiana, we completed our FEED study on a conventional steam methane reformer ammonia plant with CCS technologies. The FEED study estimates the cost of the ammonia plant at approximately $2.5 billion, we estimate another $500 million for scalable infrastructure, such as storage tanks and loading docks. Our FEED studies focused on autothermal reforming or ATR ammonia production technology and flue gas capture are progressing well. Alongside disciplined clean energy investments, we are committed to returning capital to long-term shareholders. In 2023, we returned almost $900 million to shareholders through share repurchases and dividend payments despite being locked out of the repurchases for part of the year. We expect share repurchase activity to increase over the two remaining years on our current authorization. As you can see on Slide 7 and 8, on both a free cash flow yield and a precedent transaction basis, our enterprise value is significantly undervalued, supporting continued share repurchases. With that, Tony will provide some closing remarks before we open the call to Q&A.
Tony Will: Thanks, Chris. Before we move on to your questions, I want to thank everyone at CF Industries for their contributions to an outstanding year. I especially want to highlight the progress our team made in the second half of the year regarding our safety performance. After a challenging start to 2023, we ended the year with a 12-month recordable incident rate of 0.36 incidents per 200,000 work hours, in line with our performance in recent years and significantly better than industry averages. Our operational excellence and significant structural advantages underpin our cash generation. This enables us to invest in the business to further increase cash generation and drive increased shareholder participation in our free cash flow. In the last three years, we acquired the Waggaman ammonia production facility, advanced high return clean energy initiatives, increased our dividend by 67% and deployed $2.5 billion to repurchase more than 31 million shares which represented approximately 15% of the outstanding share count at that time. Additionally, we have strengthened our balance sheet to provide us tremendous flexibility as we are able to grow our business at the same time as return significant cash to shareholders. This approach has had a dramatic impact. As you can see on Slide 10, shareholder participation in our business has increased 80% in the last 10 years. We're excited about the opportunity ahead of us to build on this track record. In the near term, we expect industry fundamentals to remain favorable to our low-cost production network. Longer term, disciplined investments in low-carbon ammonia production can provide a robust growth platform for the company. Taken together, we expect to continue creating substantial value for long-term shareholders. With that, operator, we will now open the call to your questions.
Operator: [Operator Instructions] The first question is from Adam Samuelson with Goldman Sachs. Please go ahead.
Adam Samuelson: Yes, thank you. Good morning, everyone.
Tony Will: Good morning, Adam.
Adam Samuelson: So I guess, Tony, I guess the first question is we think about the decision to pursue additional FEED studies on the Blue Point complex evaluating the different technologies. Just help us frame the increment on carbon reduction that could come from either ATR or the flue gas capture? And maybe any additional color on the policy drivers of your potential offtakers as they evaluate what threshold is needed to commit to taking the blue ammonia volumes longer term?
Tony Will: Yes. Adam, so one of the reasons that we're evaluating all the different kind of possible paths forward is to really have a comprehensive set of solutions depending upon the carbon intensity levels that are ultimately demanded by customers. And conventional CCS, the way that we've implemented it in Donaldsonville today allows for the process CO2 to be stripped out and sequestered, and that means you can reduce the carbon intensity by about almost 70% versus kind of conventional ammonia, particularly given that the plant that we're talking about having implemented that on is among one of the most efficient newest plants in the world. So it already is a fairly low footprint relative to older plants. If you look at doing flue gas capture in conjunction with processed gas, CCS we think we can get rid of in excess of 95% of the CO2 emissions coming out of that particular plant. If you look at autothermal reforming, the estimates are you can get to the 90% to 95% reduction level. But the problem with that is because of the way that the technology works, you have to have a very, very large air separation unit to introduce the nitrogen back into the process that you don't get when you're -- because you're not doing steam methane reforming. And the electricity draw on a large AirSep unit like that is a tremendous adder to cost of the project as well as op cost. And based on the grids where we're thinking about, the Scope 2 emissions become substantial. So that means you've got to do a bunch of things in order to potentially limit the emissions of Scope 2 that you'd otherwise pick up in order to get to the 90% or 95% reduction levels. And that brings with it all of its own set of costs and OpEx, CapEx in. So that's really why we're looking at kind of all of these different possible paths to give us kind of the full suite of optionality and really understand OpEx, CapEx costs in order to hit certain thresholds that the customers may ultimately demand in terms of the product. But the other point is we have a very large network longer term that we are focused on getting to carbon neutrality in the next 25 years. And so flue gas capture is going to play an important role in that process as we continue to move forward. And so us kind of getting more heavily involved in that and really understanding the different potential paths is an important thing for us longer term strategically anyway. And this is a good time for us to really kind of dive in as we're contemplating making an investment decision in new production.
Adam Samuelson: All right. That's very helpful. And if I could just squeeze a quick market question just on natural gas. As you think about the decline recently in TTF and LNG prices broadly, it doesn't seem like you expect quick restart of idled or high-cost European production? Just how are you thinking about that over the course of the year?
Bert Frost: Yes. Adam, good morning. This is Bert. When you look at the spreads, what's going on in the world with Henry Hub trading today at $1.60, $1.65 and NBP and TTF in Europe, trading in the, let's say, $7 to $8 range and so you have a pretty big spread. And as I mentioned in my prepared remarks, where we are in the ammonia supply chain, you're bidding close to that full cost range for European and some high-cost Asian producers especially when you consider carbon costs. And so the competitiveness, we're still in our position of the European producer is the marginal producer, and that will set the cost floor or the price floor. And we don't see in the short term an improvement in gas supply taking place to lower that value.
ChrisBohn: Yes. And I would just add to that, that the decision goes beyond just the cash cost immediately goes into the idea of cycling these plants is not necessarily good additional maintenance that may be needed prior to starting those back up or turnarounds that are coming forward or even holding inventory at certain periods of time that have a working capital cost to them. So I think gas is obviously the primary driver, but there's a lot of other ancillary drivers that go into factoring whether you restart.
Tony Will: Overall, I think, though, the message you'll hear from us is we're very -- we're very optimistic about what the S&D balance looks like and what the demand for our products are on a global basis. It gives Bert a lot of optionality to think about exports and satisfying in-market demand here. And we just have a lot of roads to help get us there.
Adam Samuelson: I appreciate all the color. I will pass it on thanks.
Operator: The next question is from Joel Jackson with BMO Capital Markets. Please go ahead.
Joel Jackson: Good morning. A couple of questions. I noticed in your slide deck, your new updated sensitivity table, right, that shows EBITDA for every level of gas price and urea price, it's down in every single cell by $300 million at the same gas price and the same U.S. gas price in the same urea price versus what you had in the fall. Can you explain what's going -- and it's that higher volume now. You're at 1 million tons higher volume. Can you explain the drop in EBITDA at every single cell?
Tony Will: Yes. Let's start off with the volume issue first because I think that's an important one to kind of get on the table, and then we'll go through kind of the table in a little more detail. But although we did add the Waggaman facility into the network, there is a maintenance turnaround event on that facility, and there's also a couple of significant maintenance activities. One of them is on debuild number six, which is our -- the largest operating ammonia plant in the world. And so when you've got a 40-day outage on a plant like that, that takes our production down. Now that said, as Chris and Bert talked about, we still expect to generate about circa 10 million tons of ammonia this year, which is in line with what we've historically done. The big issue in terms of last year versus this year was we had -- we entered into last year with a fairly high inventory level. So we had pretty substantial additional sales volumes last year based on inventory drawdown that we're not able to tap into. So our volumes kind of year-on-year are going to be order of magnitude fairly similar last year to this year.
ChrisBohn: Yes. And additionally, Joel, I think the big -- one of the bigger aspects of it is the relationship between the products on a pricing basis was updated to what 2023 was. So we always use the prior year as sort of the structure benchmark from that compared to 2022. So you saw more parity between the products than maybe what was a premium for UAN prior to that. And obviously, we do quite a bit of UAN volume. So this is just based on not only the cost structure of 2023, which we saw higher non-gas costs, primarily through logistics, but then also that new relationship that we experienced over the last 12 months on pricing.
Joel Jackson: Okay. So my follow-up will be kind of two parter because first, I just want to follow up on that. So I guess you're saying at the same gas price and same urea price, excuse me, UAN and ammonia prices are lower at the same urea and gas price? And then my true follow-up question would be, when looking at the Blue the Greenfield Blue Project, Blue Ammonia Project. Obviously, we saw a very good valuation comp with coke and the weaver plant a couple of months ago that you obviously didn't buy would it not make sense to just buy back stock as much as you can, just attack it authorization, don't do any greenfield plants because the market's not giving you the valuation that Coke is obviously giving to Weaver. I know it's not exactly 1-to-1, but isn't just makes sense just buy back stock as much as you can?
Tony Will: Yes. Let me take the first one first, and then I'll come back to your second point. The first one, not really being a full-on question, more of a statement. So every year, we try to update the table based on what the relationship was in terms of margin per nutrient ton of the previous year. And so the table will naturally evolve up and down and sideways and whatnot based on previous year. It doesn't mean that this is precise because if UAN starts on a nutrient basis starts trading at a premium to urea then the numbers are going to go up in every cell because of the volume of UAN that we sell. So this is illustrative as opposed to a point estimate. But your general comment of the relative premium of UAN versus urea dropped last year compared to where it was the year before is the right kind of takeaway, and that's the basis and underlying the sensitivity table. On the second question, we think that the price paid for Weaver is a fair but a full price for that asset. And our view is that at any point in time where we have made decisions to expand our network. Someone could have made exactly the same argument that you just made, which is it's cheaper to buy back shares than it is to add capacity. Therefore, you should never add back or add capacity. That would have been true. Back in 2010 when we bought Terra that would have been true. When we acquired the Medicine Hat slice that we didn't know and that would have been true. When we did the expansion projects at Donaldsonville and Port Neal or even probably the Waggaman asset that was just acquired. At every stage, we have been able to invest capital and earn a rate of return well above our cost of capital. So that's a value adding transaction, whereas buying shares back at market price by definition, is sort of NPV zero. Our view is if you look at the aggregate amount of cash that we generate and shareholder participation, sort of the ratio of the number of shares outstanding. Our shareholders have been much better off based on the combined approach that we've taken to both disciplined add capacity and also take shares out of the marketplace. And that has created a lot of value relative to an exclusive pathway of one versus the other. And so we're going to continue to evaluate the attractiveness of adding capacity on a basis of can we generate returns on a risk-adjusted basis above our cost of capital because generating more cash flow simply allows larger share repurchases in the future and it's not necessarily a point in time comparison about where we're trading in that moment because as you well know, these assets go 40, 50, 60 years in length. And so we really need to take a view of do we fully expect it to be a positive IRR and PP positive transaction to invest in a new plant because we can always default to buying shares back. And by the way, because of how well the business is operating, it's not an either/or question for us, we can actually do both at the same time.
Operator: The next question is from Steve Byrne with Bank of America. Please go ahead.
Steve Byrne: Yes, thank you. Bert, I got a couple of questions about your near-term outlook. Could it -- could the strong ammonia fall application season you rode the spring demand for urea perhaps more than UAN. Is that why maybe your UAN production was so robust in the fourth quarter. And when you look out at imports coming into the U.S., you commented about low inventory levels. some lower production in the U.S., we're hearing that there might be a much less level of imports this spring than in prior years. Is that consistent with your view? And how much have you sold forward into the second quarter?
Bert Frost: Okay Steve, well good morning and some very good questions and top of the -- of our mind today. Because as we look outside in Sunny Chicago, it's 43 degrees and we've got good soil moisture, and I would anticipate an early spring based on historicals and what we see throughout the Midwest. What that means is you're pulling forward demand. That encompassing earlier opening to river barges means product can move. So a lot of synergistic things happening at the same time. Our outlook is positive. 91 million acres of corn and good moisture and wheat country and as well as good value surpassed. You're going to see nitrogen applications in all the segments, probably at or above normal. When you look at the fall ammonia level. As we said, that was our -- probably our second best fall ammonia in 10 years. But when you put that into context of how many tons could go out, there is a substantial amount of demand to be satisfied with ammonia, UAN and urea in the spring. So our probably a couple of hundred thousand tons more than normal, we believe we were one of the last companies standing due to our logistics capabilities and distribution networks, which we leveraged very well with product in place, and then we're able to run all the way through November in Q4. And so I look for a very positive spring demand for UAN and urea as well as ammonia. The imports have been lower, and that's been fairly consistent, but when you go back and look at it in totality, the low level of inventory we believe that we carried in, coupled with the low level of imports to date, and we're tracking vessel nominations in what we think are coming in, in Feb, March and April, it's going to be a challenge. And then, again, weaving into that an early spring impacts that even more. And so our forward call is we're probably going to see and we are seeing some price appreciation you're going to see demand coming forward earlier, and we're prepared or being prepared for that eventuality even with some of the loss of production we experienced in January, we believes others in our industry experienced as well, but these are the challenges we face, and we will meet them.
Steve Byrne: And maybe just one quick one for you, Chris. in that flue gas carbon capture analysis that you're doing there's a variety of technologies out there. Are you looking at several different technologies? And are you also looking at potentially using oxygen in the boiler instead of urea?
ChrisBohn: Well, I'll say the engineering team has reviewed several different engineering types for the flue gas capture, but we are focusing on one specific as we're moving through the FEED study rather than doing multiple FEED studies with additional technology providers through that.
Steve Byrne: Thank you.
Operator: The next question is from Josh Spector with UBS. Please go ahead.
Josh Spector: Yes, hi guys, good morning. So I wanted to follow up on the additional FEED studies for carbon capture. And I just specifically asked about if there's been any changes in what you're hearing in terms of policy in Japan. I thought Japan was kind of leading the way that clean ammonia 60%, 70% lower carbon was something they were comfortable with accepting with their first move to reduce coal intensity, maybe other countries wanted to push it further. So has anything changed on the Japan side and how that relates to your first potential investment here?
ChrisBohn: Yes. From Japan side, I don't think they've come out necessarily with the strict -- what are their requirements for carbon intensity. We've had plenty of discussions not only with our partners, but with the government related to that, there's a few different scenarios that they're playing through. But as to exactly what they want, that hasn't come. They have, as you mentioned, preliminarily said that they would be willing to accept a lower carbon intensity or I should say, yes, a lower carbon intensity amount there, whereas some of the other nations specifically Korea are looking for carbon intensity that basically has 90% reduction. And that's why we're looking at some of these other options as well to do that. So more to come on the clarity, as Tony mentioned in his prepared remarks and his questions about what's happening out of Japan. Now, one of the things that is occurring in Japan right now is the cabinet has moved forward with a package for this towards the diet. So we should see some sort of approval from essentially the diet in the next several months. And then from there, Medi would be able to allocate those funds and we begin to put in applications for the projects with our partners. So -- nothing has changed from where we stood three months ago or six months ago, but we are looking at many different alternatives, as Tony mentioned.
Josh Spector: Okay, thanks. And just on Waggaman. I mean I don't believe you mentioned at all that anything update on what you're doing in terms of potential CCS at that site. So just curious if you have any thoughts there on what that could look like timeline wise? And if there's anything to note about why CapEx or even OpEx, I guess, as you think about sending it on pipeline to get sequestered if that's meaningfully different versus what you're doing in Donaldsonville or similar?
ChrisBohn: Well, I think Waggaman is just another site within our whole entire network now. So we're viewing Waggaman similarly how we're reviewing all our sites when it comes to CCS, that being specifically Yasu City, and Medicine Hat in Alberta, some of the projects that are a little bit further along but our team is evaluating CCS at Waggaman, but again, similar to how we're evaluating at all other sites. What I would say from a pipeline and sequestration, I think with Louisiana getting primacy on Class 6, we should be seeing a little bit more expedited approvals of those Class 6, specifically in Louisiana and that's going to help move things along much more quickly. And I think based on some of where those Class 6 wells, particularly are also going to direct us where we're going to put more of our time on each of our network sites for CCS. So more to come on that, but we continue to evaluate and be very optimistic about Waggaman just as we are at Donaldsonville today.
Josh Spector: Okay, thank you.
Operator: The next question is from Jeff Zekauskas with JPMorgan. Please go ahead.
Jeff Zekauskas: Thanks very much. Who are the natural buyers for your green ammonia? And how do you think about the price at which you might sell it?
Bert Frost: So what we're working on now is just that the volume of product that we will be producing could be digestible in a vessel, which could go to Europe. We're working with some of the ethanol producers for a low-carbon corn value chain, which we believe will lead then to sustainable aviation fuel and low carbon fuel products. We're talking to some of the food companies and some of their labeling ventures and how do we do that and incorporate that? So both blue and green or let's just call it low carbon and no carbon products, we're moving forward. And we think we have quite a few opportunities to market those products out of value over conventional products.
ChrisBohn: Yes. And I think if you look at it, Jeff, both similar with blue and green, we're going to be the first to market with these. And as you look at the green, there's just not a lot of supply there. So as Bert mentioned, you're probably going to see a premium based on that product that is significantly above our cost, I would say, just because it's a smaller amount. As we bring on Blue will be the first in the world with any measurable amount of volume with that. And I think there's a lot of activity, as Bert said, on the demand pull side that we're beginning to see that we feel fairly confident that we'll be able to receive some sort of premium on it what that is, that is yet to be determined 100% at this time.
Jeff Zekauskas: Okay. And then natural gas prices have fallen pretty sharply, but you also hedge. Do you expect much hedging penalty in the first quarter?
Bert Frost: So how we talk about gas is just that. We do hedge and we saw that the reason why in January with the spikes up to $50 in our Iowa facilities and actual availability or lack thereof in some other facilities. So hedging and securing supply during the cold months of Dec, Jan and Feb are important. But you're correct on the reverse side of that is those hedges were taken at higher value than we are in the cash market today. So your first quarter value for gas will be over what the cash value is and more to come on that.
Tony Will: I would say though, the offset to that Jeff is we're not -- we're clearly not 100% hedged. We do, to Bert's point, like to do basis hedging more than Henry Hub necessarily hedging. And so we are benefiting from the drop in the daily cash rate on a piece of it as well. And so in some cases, it's not fixed price. There could be some swaps or some collars that are in there. And so we do get to participate in a portion of that reduction in gas costs. But really, what we're trying to do is protect the margin against unusual weather events that can blow out against us. And if you end up giving up a nickel or a dime along the way in order to protect against the potential blowout that's a reasonable insurance policy from our perspective, but Q2 forward is open.
Jeff Zekauskas: Okay, great. Thank you.
Operator: Your next question is from Richard Garchitorena with Wells Fargo. Please go ahead.
Richard Garchitorena: Thanks. Good morning. My first question was just on the update to the Mitsui JV and the Clean Energy Project. So it looks like the initial CapEx estimate from the FEED study is roughly $3 billion. Just curious, where did -- does that compare to the original estimate when you signed the MOU back in early 2022, how much capacity does that entail and then also, what protocols are you putting in place to maintain that cost estimate as you progress through development?
Tony Will: Yes. So we have not made a final investment decision on that yet. We have an estimate that we think is within kind of plus/minus 10%-ish of the final cost. But we have not made a decision to proceed with that. And therefore, there's nothing that we've done to kind of "lock in" that price because no decision has been made to progress. Relative to when we initially began talking with Mitsui and created kind of the MOU around the joint venture to pursue this project. We had, I would say, some very high level estimates of where we thought the cost might come in, but we certainly had not gone through the process of doing the FEED study to get an accurate cost estimate. And so it was just directional at best. I would say that the cost to complete, including the site level and a scalable infrastructure that Chris mentioned in his comments, is a bit higher than what we had maybe initially thought. But I think that's reflective of the relatively tight labor market and inflation in general, particularly around some of the exotic metals that are required. But what that also suggests is that the value of existing assets is that much higher as we saw with the sale of the Weaver asset here just recently and suggest that the value of the rest of our network is, again, even that much higher as well. So we're still in process of evaluating whether there's a project that we want to fund here or not. And as part of that, we are evaluating different production technologies and different amounts of carbon reduction levels. And we'll make that ultimate decision kind of sometime in the back half of this year, along with our partner, Mitsui.
Richard Garchitorena: Okay. Great, thanks for that. And then just talking about the nitrogen market. It looks like you cited about 40% of ammonia capacity in Europe being shut down in early January. And that's up versus around 25%, I believe, as of early November. And this is during a period when European natural gas prices have actually come down over 40%. So I guess, what is driving that? Is that -- is part of that curtailment maintenance shutdowns? Or are these -- part of these permanent shutdowns they expect to continue through 2024?
Tony Will: I mean I think it can be both of that. There's also an issue of if you can acquire deepwater traded ammonia at a cost that's lower than what you can produce using domestic gas. There's no reason not to do it. If you are in a facility primarily doing nitrite as opposed to urea, you don't need the CO2.
Bert Frost: And I think a reflection of the gas -- current gas price today is in the cash market that was not available just a short time ago. And so the reflection of 40% as a look back on Q4 and entering into Q1, and you're probably going to see some of those plans restart, especially with the Russian announcement of limiting ammonium nitrate exports that just came out today, that's going to have a substantial impact on Eastern Europe and Central Europe and probably the ability to export for the Western European producers who can export, for example, Brazil had a 1 million-ton consumer of ammonium nitrate and Central America will need someone to supply that. So let's say, today, that's $8 gas that's doable in relation to the absence of the product coming out of Russia. So things are changing. And I think the gas as well as the supply market as well.
Operator: The next question is from Edlain Rodriguez with Mizuho. Please go ahead.
Edlain Rodriguez: Thank you. Good morning everyone. Maybe this is for Tony or maybe for Bert. I mean if you compare where we are today with three, four, five months ago, are you more positive or less positive on the prospect of the industry or NCF for 2024, and that's looking at some of the big drivers, like corn prices, corn acreage, the energy complex supply demand? Like anything else you want to address? Like do you see things being more -- are you more or less positive?
Tony Will: Yes. I mean, I think gas has been very constructive for us. Our cost, it looks like as they're shaping up for the balance of the year should be down substantially relative to where we were back in kind of November when we put together our thoughts of where we expected the year to come out. I also think that some of the other changes kind of structurally, whether it's potential imports running slower than expected in early spring what we believe is lower channel inventories than kind of many expect out there. All of those things, I think, are net positives for our business, particularly for the first half. So overall, my sense is we're feeling pretty good about the way the year is shaping out.
Bert Frost: I agree. In terms of where we were coming into a falling market, falling urea price market in Q4 and now in Q1 are rising urea market. Why is that? Related to energy, of course, and the inability of -- or the non-economic position of the European producer and higher imports, but you're seeing in terms of the global market of a very tight market, you've had downtime in Malaysia, export restrictions in Indonesia, export restrictions in China, as well as heavy imports and continued imports into India, but heavy imports into Brazil. And we're just entering our season, as we talked about previously with a tight market and needing to be -- to bring in product and so you have a tighter global market and then that's reflected in price. For the values for the feed grains, corn at $4.60, $4.70 is very attractive, especially when you look at trend yield over 180 and yields in Iowa, Illinois, Indiana above 200, it's very profitable. This will be the fourth best year in 10 years for the American farmer. And so when you couple that all together, as well as global supply and demand, I would say we're positive for 2023 -- 2024.
Edlain Rodriguez: Okay, thank you. That's all I have.
Operator: The next question is from Ben Theurer with Barclays. Please go ahead.
Ben Theurer: Yes Good morning, and thanks for taking my questions. Just wanted to follow up a little bit on the international trade dynamics and in particular, the export market versus the import markets and where you're seeing especially in South America, Brazil inventory levels. We've talked about the North American as being low, but we all know Brazil has been a little bit more of an issue. So within that 7 million to 8 million tons of import need. What's your sense on the ground inventories in Brazil right now? And how does that shape up for your opportunities to potentially export into the region? Thank you.
Bert Frost: Yes. So CF is an active exporter of our major products, ammonia, UAN, urea and some ammonium nitrate. The UAN has predominantly gone to Europe, Argentina and Australia and urea is more spot and situational. Where we are in Brazil today with about 44 million tons of consumption of NPK and the targets for 2024 are closer to 46 million tons, you're going to need our projections are over 8 million tons of urea imports to Brazil for the calendar year. And that's a very positive move. That will push Brazil to the largest importing country surpassing India who is between 6 million and 7 million tons now. Brazil did have high levels of inventories and imports entering the year. Much of that was consumed during the Safrinha season of which is January, February and March of applications, and they are low-level importers 200,000 tons, 300,000 tons a month. Their wheat application starts in April, and then we moved to corn applications in July, August, September and then cotton later in the year and again, repeating the cycle. So Brazil is the positive, I'd say, consumption train in the world of fertilizer economies, and it's going to continue to play a major part and so the S&D right now is balanced type globally for urea.
Ben Theurer: Thank you.
Operator: The next question is from Andrew Wong with RBC Capital Markets. Please go ahead.
Andrew Wong: Hi, good morning. So regarding your hurdle rate that's required for the investment decision at Blue Point, if you say -- like if you get take-or-pay offtake with steady volumes and steady margins, does that lower the rate for the hurdle versus some of your other projects or buybacks or anything else you'd be considering?
Chris Bohn: Yes, I think as you look at any return on a project, it's a set return with a risk premium based in there. If you have take-or-pay, that's offtake on a ratable basis, you're probably willing to take a lower return profile on that. I mean that allows a lot of additional synergies that run throughout the entire network as we see with our [Mosaic] contract with them taking ammonia on a ratable basis, lower inventory, lower receivables, different things like that, lower risk involved and therefore, that allows you to have a lower risk premium and therefore, taking a slightly lower return on that.
Andrew Wong: Okay. Great. And then just regarding the Donaldsonville ammonia project, could you just provide the latest update for the injection well permits? And I think you mentioned this Louisiana gaining primacy on the classic wells. What does that mean? And how quickly can you get approvals there? And how quickly can drilling be completed?
Chris Bohn: Yes. So the approval time line on that is really based on our partner, Exxon, and what they're doing both with the Class 6 and some of that's probably been accelerated some by their acquisition of the Denbury pipeline because it allows the other access to different states with Class 6 that may have a -- I would say, a shorter queue time than what Louisiana or some of the other states, so we are confident that in 2025, we will economically be receiving a benefit related to the 45Q and therefore, we'll have low carbon ammonia ready.
Andrew Wong: It's great. Thank you.
Operator: The next question is from Vincent Andrews with Morgan Stanley. Please go ahead.
Vincent Andrews: Thank you. Tony, on the blue ammonia JV with Mitsui, I guess a couple of questions. One, if we get to the second half of '24, and I assume that's probably the third quarter call or maybe you'll have an update and you're not moving forward at that point, what's happened, do you think? And then just secondly, I believe there are several other potential MOUs or JV partners that you have out there. Is there any update on those? Or is that all pending sort of the outcome with Mitsui?
Tony Will: Yes, we're very happy with the agreements that we have in place and the partners that we have lined up to pursue these kind of opportunities with us. A lot of them that we have come out publicly with tend to be Asian focus. So a couple of Japanese firms as well as South Koreans. I would say that the Korean government and the customers as a result are a little bit behind from a time line perspective compared to the Japanese. And so we'll likely be making a decision around a plant principally targeting the Japanese market first, and then we'll eventually look at both Korean market and potentially European partners that we've discussed with as well further out. And that could be served by one in the same plant or it might have different requirements associated with it. But if we decide not to proceed, I think it's a combination of very likely just aggregate costs associated with moving forward and lack of line of sight on making sure that we can earn an appropriate risk-adjusted rate of return against that cost nut. Relative to the global S&D. I think I kind of went through that a bit in my prepared remarks, which is we're constructive on where we sit right now. Our results last year were strong. We're looking at another good year this year. Longer term, traditional applications for nitrogen continue to grow in the kind of 1.5 plus or minus percent range per year, and there's not enough new projects that are currently under construction globally to meet that requirement. Adding into the either supply deficit or demand increase is you've got some plants around the world, including Trinidad and probably Europe that are facing challenges with gas availability and gas cost. And then you've got new or potentially new applications for ammonia that are also developing. So all of those things lead to a tighter global S&D marketplace bidding in higher and higher cost of production around the world. And that provides, I think, a reasonable backdrop for us to be considering building new production capacity. But we have to, at the end of the day, be comfortable that we can earn an appropriate rate of return that's well above our cost of capital for us to want to proceed with a project like that.
Vincent Andrews: Okay, thanks very much.
Operator: The next question is from Aron Ceccarelli with Berenberg. Please go ahead.
Aron Ceccarelli: Hi good morning. Thanks for taking my question. My first one is about the comments you made on farmer incomes in your press release. You talked about improving farmer income in North America and in 2024. I was wondering what's the thought process here, considering that we saw John Deere on year-to-date being a little bit more downbeat and I think USDA report last month was a little bit down bit to. My second question is around blue ammonia and the news around the potential partnership with POSCO. Is there any color you can provide about the implied blue premium you are assuming or you have in mind? And my final one is on exports from China. I think Yara last week in Europe mentioned that Chinese export could potentially come back a little bit messaging today in the presentation seems that there could be some temporary windows about where Chinese could export. So just wondering if you see the situation changing pretty much you would expect, again, a very tight export market from China at this stage. Thank you.
Bert Frost: Good morning. Regarding the farmer income comment, what my comment was it's the fourth best in about 10 years. So when you look at -- as compared to last year, the year before, you're referencing John Deere, some of the chemical or seed suppliers, if not it's lower, but it's still at $4.60, $4.70 corn for December corn pricing today, and what was hedgeable not just a few months ago at 5.10, 5.20, very attractive, again, based on just trend yield of 180 bushels an acre, which is what we're targeting for 2024. But most high-state farmers are in the 200 to 250 bushels. So very profitable even with the drop in fertilizer prices, the drop in diesel prices. And so you have to look at the total cost structure for a farmer, whether that's owned land or rented land, variable costs against fixed costs and putting that whole structure together, it's still a good time to be a farmer. That was the point. Regarding the exports from China, we've seen a different China about every other year. And our prepared remarks and communication about what we expect out of China is that the government restrictions are in place for urea and some phosphate products. They will continue through or into Q2 and our expectations for China or they will export, they will return to the export market. And being that in the past five years, it's been between 2 million and 5 million tons we would say 3 million to 4 million tons of exports, sort of logical volume for 2024.
Tony Will: And then relative to blue ammonia premium, blue ammonia for us makes great economic sense even if there were no premium in the marketplace because of the 45Q tax credit, I think we've kind of gone through that math a little bit in the past, but we expect a net benefit from the Donaldsonville blue ammonia project in order of magnitude of roughly about $100 million net benefit to us per year. So just on the face of it, that's a great investment for us. Now that said, we have had I would say, ever-increasing interest levels in blue ammonia from a variety of different constituents, including a number of our existing customers, but also some other folks that have reached out. And so based on a relatively small volume of decarbonized or blue ammonia that's going to be available principally just from us beginning in 2025. And the appetite in the marketplace, we absolutely believe that it's going to be a commodity and scarce supply relative to the appetite for it. And so it will carry with it a premium in the marketplace just on in S&D, there's more demand than there is supply on. We have not formalized exactly how we're thinking about selling that in because we want to begin actually producing it, and that's going to be dependent to some extent on the timing of our per ExxonMobil in this deal. But we feel very good about the likelihood of a reasonable premium that adds on to what's a very attractive regulatory framework for Blue.
Bert Frost: Plus, I'll add one more positive comment for the team, for the company and for what we are about as a company with the Do It Right culture, we have the highest onstream factor. We have the best safety statistics in the world. and we're going to lead the world in this move to low-carbon ammonia because it's the right thing to do and the government is incentivizing us and our shareholders want us to do this. And so there's a lot of positive energy going forward with that and what we will bring to the market.
Aron Ceccarelli: Thank you very much.
Operator: Ladies and gentlemen, that is all the time we have for questions today. I would like to turn the call back over to Martin Jarosick for any closing remarks.
Martin Jarosick: Thanks, everyone, for joining us today. We look forward to seeing you at upcoming conferences.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.